Operator: Good afternoon. My name is Eric, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Cambium Networks Third Quarter 2023 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Be advised that today's conference is being recorded. And now, Mr. Peter Schuman, Vice President of Investor and Industry Analyst Relations. You may begin your conference.
Peter Schuman: Thank you, Eric. Welcome, and thank you for joining us today for Cambium Networks third quarter 2023 financial results conference call and welcome to all those joining by webcast. Morgan Kurk, our President and CEO; and Andrew Bronstein our CFO; are here for today's call. The financial results press release and CFO commentary referenced on this call are accessible on the investor page of our website and the press release has been submitted on Form 8-K with the SEC. Certain revisions were made within operating expenses in prior periods to conform to the classifications in the current periods. These revisions had no impact to operating results. A copy of today's prepared remarks will also be available on our investor page at the conclusion of this call. As a reminder, today’s remarks, including those made during Q&A, will contain forward looking statements about the company’s outlook and forecasted performance. These statements are based on current conditions, forecasts, and assumptions. Risks and uncertainties could cause actual results to differ materially. Except as required by law, Cambium Networks does not undertake any obligation to update or revise any forward-looking statements for any reason after the date of this presentation, whether as a result of new information, future developments, to conform these statements to actual results or to make changes in Cambium’s expectations or otherwise. It is Cambium Networks’ policy not to reiterate our financial outlook. We encourage listeners to review the full list of risk factors included in the safe harbor statement in today’s financial results press release and our most recent SEC filings, including our most recent Form 10-K and Form 10-Qs. We will also reference both GAAP and non-GAAP financial measures and specifically note that all sequential and year-over-year comparisons reference non-GAAP numbers except where otherwise noted. A reconciliation of non-GAAP measures to GAAP is included in the appendix to today’s financial results press release, which can be found on the investor page of our website and in today’s press release announcing our results. Turning to the agenda. Morgan Kurk will provide the key operational highlights for the third quarter 2023 and Andrew Bronstein will provide a recap of the financial results for the third quarter 2023 and will discuss certain elements of our financial outlook for the fourth quarter 2023. Our prepared remarks will be followed by a Q&A session. I’d now like to turn the call over to Morgan.
Morgan Kurk: Thank you, Peter. I’ll begin by outlining some of the observations I’ve had and the initiatives I’ve started during my three-month tenure as CEO, and why despite our challenges and economic headwinds, I am excited by Cambium’s future. After a comprehensive review of Cambium Networks’ product portfolio, I am impressed by the technology I have seen both in depth and breadth. Furthermore, I’m encouraged by the technical talent throughout the organization and believe that with additional direction, there is wealth of opportunity to be exploited. I see possibilities in our future roadmaps by combining technologies from different areas of the business to solve networking problems more effectively. I have three immediate priorities. My first focus is in execution. This is in all aspects of the business and is about keeping our promises, a promise to deliver our innovations, when we say, what we say, a promise to deliver greater value than the rest of the market, a promise to use capital wisely whether in cash or human capital. This say/do is the foundation of trust within the company and between us and our customers and suppliers and is what I will use to build a solid organization. Second, after an initial strategy session and discussion with customers, I’ve concluded we often try to do too much, spreading ourselves too thin, so I am implementing a focus and simplify strategy, where we build core platforms that can be used to create multiple solutions. This strategy improves efficiency in engineering, reduces time to market, and lowers product and support costs. Focus is the key to success and requires the strength to decide what to do and what not to do. My third priority is to improve our go-to-market in specific areas where we can grow. We will place additional emphasis on those sectors that can be differentiated, through product or services. I look forward to growing Cambium's top line revenues, and returning the business back to higher levels of profitability. Recapping the under-performance of Q3 2023 revenues, we had three items contributing to the shortfall in revenues during Q3 2023. Our point-to-point PTP, revenues decreased 37% sequentially and grew 3% year over year due to temporary US federal budgetary issues resulting in a gap of more than $8 million in defense orders, as compared to our initial Q3 2023, outlook. We expect a significant portion of these delays to ship during Q4 2023. Our point-to-multi-point PMP, revenues decreased 12% sequentially and was lower by 10% year over year as inventories and channel reduced, while waiting for the FCC approval of six gigahertz spectrum expected during late Q4 2023. The approval is anticipated to drive sales of Cambium's new six gigahertz ePMP 4600 and PMP 450v product lines. On a positive note, our 28 gigahertz fixed products reported record revenues increasing 144% sequentially during Q3 2023. Our enterprise price revenues decreased 61% sequentially and decreased 93% year-over-year. Order for our enterprise business continues to experience headwinds particularly in North America and EMEA, due to high channel inventory. Enterprise revenues were negatively impacted by stock rotations of approximately $9 million of which approximately half were exchanged for enterprise products. Sales of Cambium products out of the distribution channel, as reported by Cambium's distributors were significantly higher for Q3 2023 than Cambium's reported revenues and we saw a correspondingly large decrease in channel inventories for both enterprise and PMP products. While we're making good progress in clearing out inventories in the channel, this effort is not complete yet. We expect the channel inventories for Cambium's enterprise products to return to pre-COVID levels during the first half of 2024. Now looking at some customer wins that are key to our future success. In the city of Huntington Park California, Cambium won the first phase of an American Rescue Plan Act ARPA, funded city wise initiative to provide internet to bridge the digital divide by equipping streetlights with Cambium's 60 gigahertz cnWave and outdoor Wi-Fi access points, highlighting Cambium's unique product set. In the Europe, Middle East and Africa region, we had a multiyear win with a managed service provider to provide enterprise Wi-Fi for AB InBev, the largest brewer in the world providing internet access to thousands of taverns across Sub-Saharan Africa, as a testimony to Cambium's central cloud architecture. In the Middle East, the Gulf of Suez petroleum company and in the Asia Pacific region Oil and Natural Gas Corporation Limited, both selected Cambium's suite of PTP, PMP and cnMaestro cloud management solutions to connect large harsh environments, which exemplifies our products reliability. And in the Caribbean and Latin America region, we had an important wins with the largest hotel rate chain in the world, with managed service provider single digits. The Fairfield Luquillo beach in Puerto Rico is implementing our Wi-Fi 6 and switching solutions and Cambium was recently selected for the AC Santiago and the dependent Dominican Republic, which demonstrates continued acceptance of our product in the hospitality market. Turning to upcoming product introductions since our previous quarterly update, in the PTP business for defense communication, Cambium introduced a new smart antenna the PTP 700 beam steering unit, our outdoor unit which enables antenna alignment automatically rather than manually and high-level interference mitigation to provide secure communications in hostile environments. This product solves one of the biggest challenges in deploying wireless networks, which is antenna alignment and subsequently reduces the cost and weight of the radios.  Cambium is also introducing a Wi-Fi 6 home mesh gateway solution. The Wi-Fi mesh gateway solution works seamlessly, with our fiber and wireless backhaul products and features auto frequency coordination, content filtering, device bedtimes, a guest network and a path to compliance speed test. The hardware and customer apps can be customized and branded, with the ability to do self-install and self-help. Looking at our cnMaestro Cloud software, total devices under cloud management in Q3 2023 surpassed one million for the first time in Cambium's history increasing approximately 4% from Q2 2023 and up over 17% year-over-year. On the human interest front Cambium donated outdoor Wi-Fi equipment to the Information Technology Disaster Resource Center to help those displaced by fires on Maui within hours of installation one hotel reported the number of connected clients increased by three times from about 50 to more than 150 connected devices. I will now turn the call over to Andrew for a review of our Q3 2023 financial results and Q4 2023 financial outlook.
Andrew Bronstein: Thanks Morgan. While Cambium is presently impacted by lower revenue levels, we are seeing the benefits of our cost reduction plan designed to align our cost structure to our revenues and to improve cash flow. In 2024, we expect to realize annualized cash savings of $24 million comprised of OpEx savings of approximately $17 million, additional CapEx savings of approximately $5 million, as well as COGS savings of $2 million. These savings include actions taken both in August of 2023 as well as cost reductions planned during Q4 2023. Once revenues returned to more normalized levels, we expect to see higher profitability flow through to our bottom line. As a reminder, our 2023 results do not include the full costs for our variable compensation plans due to the underperformance of our operating results. Therefore, for 2024, these variable compensation programs are expected to add approximately $10 million when compared to 2023. Now, turning to the quarter, Cambium reported revenues of $43 million for Q3 2023. Revenues decreased by 28% quarter-over-quarter and decreased by 47% year-over-year. On a sequential basis for Q3 2023, revenues were lower by $16.5 million. The lower revenues were the result of the previously mentioned US federal budgetary delays impacting our PTP defense revenues, continued lower order volume from our enterprise business due to high channel inventories stock rotations and slowing economies, and slower PMP orders ahead of the approval of 6 gigahertz spectrum. We have seen PMP and enterprise channel inventories declined during Q3 2023. Revenues of $43 million decreased by $38.2 million year-over-year, primarily due to lower enterprise revenues as a result of the high channel inventories, stock rotations, and slowing economies. PMP revenues decreased due to the anticipation of the six gigahertz FCC approval partially offset by higher demand from service providers for 28 gigahertz fixed 5G. PTP revenues rose slightly year-over-year as a result of increased demand for our defense products. We expect stronger PTP revenues for Q4 2023 due to our expanding defense business. By region, North America, CALA, and APAC weaken sequentially, while AMEA recovered growing 111% quarter-over-quarter, driven by demand from a large 28 gigahertz customer. Now, moving to our gross margin. Our non-GAAP gross margin of 27.7% compares to 51.3% in Q3 2022. This year-over-year decrease in our non-GAAP gross margin was primarily due to higher inventory reserves of approximately $5 million lower freight capitalization, as well as weaker product mix as a result of lower enterprise revenues. On a sequential basis, Q3 2023 non-GAAP gross margin was 27.7% compared to 50.3%. The lower quarter over quarter non-GAAP gross margin was primarily the result of higher inventory reserves of approximately $5 million, lower freight capitalization, and lower defense and enterprise revenues. In Q3 2023, our non-GAAP gross profit of $11.9 million, decreased by $29.7 million compared to the prior year and decreased by $18 million sequentially due to lower revenues. Non-GAAP total operating expenses including amortization including in Q3 2023 decreased by approximately $400,000 when compared to Q3 2022 and stood at $27.4 million or 63.7% of revenues. The decrease in operating expenses compared to the prior year period was primarily the result of lower sales commissions, as a result of lower revenues and lower marketing spend partially offset by increased wages due to inflationary salary increases effective January 1, 2023. When compared to Q2 2023, non-GAAP operating expenses decreased by approximately $900,000 during Q3 2023. The quarter-over-quarter decrease in OpEx is due to lower headcount and lower sales commissions, due to lower revenues partially offset by higher G&A costs due to professional services. Non-GAAP net loss for Q3 2023 was $12.1 million or a loss of $0.44 per diluted share, below our outlook for the quarter and compared to non-GAAP net income of $11.3 million or earnings of $0.4 per diluted share for Q3 2022 and non-GAAP net income of $900,000 or $0.03 per diluted share in Q2 2023. The lower non-GAAP net income compared to the prior year was primarily due to lower enterprise revenues and a lower gross margin, from the lower net income compared to the prior quarter's results was primarily the result of lower PTP and enterprise revenues and a lower gross margin partially offset by lower operating expenses due to a reduction in headcount and lower sales commissions. Adjusted EBITDA for Q3 2023 was a loss of $14.4 million or a negative 33.5% of revenues, compared to $14.7 million or 18.2% of revenues for Q3 2022 and $2.8 million or 4.7% of revenues for Q2 2023. Now moving to cash flow. Cash used in operating activities was $200,000 for Q3 2023 and compares to cash provided by operating activities of $2.2 million for Q3 2022 and cash used in operating activities of $4.5 million for Q2 2023. During Q3 2023, we did a great job converting receivables into cash. Inventories were reduced modestly mainly due to inventory reserves. While we expect that our inventory balances will decline as we return to pre-COVID levels, we will still face some headwinds until inventories at our third party manufacturers normalize. In addition, inventories will reduce as sales orders and revenues increase driven by enterprise channel inventories returning to pre-COVID levels, PMP revenues increasing from the introduction of our six gigahertz products and PTP growth driven by our defense products. Now turning to the balance sheet, cash totalled $27.5 million as of September 30th, 2023 a decrease of $4.4 million from Q2 2023. The sequential decrease in cash primarily reflects lower revenues and net income as well as CapEx and income taxes. Net inventories of $79.8 million in Q3 2023 decreased by $2.6 million from Q2 2023 and higher by $29.1 million year-over-year. Net inventories were sequentially lower as a result of higher inventory reserves. Channel inventories continued to go down sequentially for both enterprise and PMP products and we continued to take aggressive actions to work with our distributors and return channel inventories to pre-COVID levels. In summary, Cambium's third quarter results were impacted by lower sales orders and higher stock rotations in our enterprise business, delays in the timing of defense shipments in our PTP business and sluggish order volume in our PMP business as our distributors a week the FCC approval of the six gigahertz spectrum. We continue to manage costs prudently. We have taken significant actions to reduce our cost structure, along with aggressive sales actions to move enterprise inventories through the channel. We continue to expect positive momentum from our PMP products driven by the expected FCC approval of our six gigahertz products. And although lumpy, the continued ramp of our 28 gigahertz 5G revenues, as more service providers move to commercial deployment. Moving to the fourth-quarter 2023 financial outlook. Cambium Networks financial outlook does not include the potential impact of any possible future financial transactions acquisitions pending legal matters or other transactions considering our current visibility. As of today our Q4 2023 financial outlook is expected to be as follows. Revenues of between $45 million and $50 million, representing a sequential increase of approximately 10.5% at the midpoint of our outlook. Non-GAAP gross margin of between 38% and 45%, non-GAAP operating expenses between $25.7 million and $26.7 million. Non-GAAP net loss of between $4 million and $7.5 million, or a net loss per diluted share of between $0.14 and $0.27. Further due to the impact of lower revenues and cash requirements, we will evaluate whether or not to draw a portion likely less than one-half of our $45 million revolver as we prepare to enter 2024. I will now turn the call back to Morgan for some closing remarks.
Morgan Kurk : We still have a ways to go before returning to normalized revenue in our enterprise business but we're making good progress with our channel partners to digest the current level of channel inventory and sell-out remains significantly stronger than sell-in. While our PMP business has not yet turned the corner, we expect it will accelerate with the FCC's approval of Cambium's affordable 6 gigahertz solutions. Bookings in our PTP business remains strong. We expect a record year of defense revenues in 2023, and we continue to expand the number of programs and countries in which we participate. We continue to manage our costs and we are taking additional actions to reduce them, which will serve us well in the future. We are investing in innovative new products, but realize that we can't be all things to all customers, which requires focusing on those areas that provide the most compelling value to our customers and a solid financial return to our shareholders. Finally, I'd like to show my appreciation for our employees, partners and customers, as we reposition the company for continued success in the long run. This concludes our prepared remarks. And with that, I'd like to turn the call back to Eric and begin the Q&A session.
Operator: Thank you very much. [Operator Instructions] Our first question comes from Scott Searle ROTH Capital Partners LLC. Scott, your line is open. Please go ahead. Hello Scott?
Scott Searle : My apologies. Thanks for taking my question. More than maybe just to dive in on the Wi-Fi front trying to get my hands around where the channel inventory is. I know you guys are continuing to burn it down, but it's certainly new in terms of the posted results in the third quarter very low. Can you give us an idea of what the actual sell-through was in the Wi-Fi product portfolio? I think you mentioned getting back to pre-COVID levels, but previously the company had indicated, I think that sell-through had been last quarter more in the 16 million-plus range. I wonder if you could calibrate us on that front and what we should think about normalized revenues looking like once channel inventory comes back to normal levels sometime in mid 2024?
Morgan Kurk : Absolutely. So I think it's very similar. It's in the $15 million to $20 million range. And we expect that after the channel inventory is burned off that our revenues will return to levels and grow from there.
Scott Searle: Got it. Okay. And maybe quickly then for the follow-up shifting over to the point-to-point front some product transitions going on there as we're sitting waiting for AFC approval it sounds like that's expected in the fourth quarter, but in the meantime in terms like 28 gig had a really big impact in the third quarter. So I'm wondering if you could calibrate us to as to the magnitude of that. The European revenues were up quite a bit sequentially was 28 gig the biggest chunk of that movement. And then as we look into 2024, if you could frame the opportunity for us as it relates to 6 gigahertz assuming that there's a AFC approval how big is the pipeline? I think when we last saw you with whisper you're talking about 100-plus POCs. How are things on that front? What's successful year in terms of 6 gigahertz when we look at 2024? Thanks.
Morgan Kurk: Sure. So a couple of things to unpack there. The impact of the 28 gigahertz product this past quarter was in the $5 million to $10 million range. And it is significant and this is what happens when new spectrum collide with new products you get a nice bump from it. And it's the same, sort of, benefits that ourselves in the whole industry will get in six gig versus that becomes available a sizable bump as people build that out. You're correct. We have more than 100 POCs some folks are doing early deployments. Of course they cannot turn on this. There's some equipment prior to approval on except under an experimental license but we expect that to ramp in the first half of the year rather significantly with approval happening in this quarter.
Scott Searle: Thank you.
Morgan Kurk: Thank you.
Operator: Standby for our next question. And we have Simon Leopold with Raymond James. Simon, your line is open. Please go ahead.
Simon Leopold: Great, thanks for taking the question. First one is I want a little bit of a help maybe deciphering or getting a bridge on the gross margin I think you mentioned that there was $5 million inventory adjustment. And so that looks like if I back that out gross margins would have been around 39% -- just checking my math there and then help us understand really what's going on by segment because I'm wondering I'm guessing that maybe Wi-Fi business is low enough that it could even be contributing a negative gross margin. Anything you can offer to help us unpack what contributes to this weak gross margin? Thank you.
Andrew Bronstein: Yes, thanks for the question. Appreciate that. So you mentioned the $5 million that certainly had the biggest impact in terms of the additional inventory reserve. In addition to that I had mentioned that we have less capitalization of freight as a result of purchasing less from our vendors because our inventory we have enough inventory right now we're not looking to bring in more inventory. And the third area is that we are working very closely with our distributors in terms of moving inventory, especially, in enterprise and through that channel and that includes discounting the inventory that is in the channel, especially, for older products. So these are the three areas that impacted the gross margin. We do expect that once we get to a more normalized rate even with discounting as we look ahead to 2024 that we will be at least at the 40%-plus range.
Simon Leopold: Great. And then if we could get maybe an update on your thinking of some of the tailwinds from government programs like BEAD as an example and even thinking about any international opportunities. But what's your current thinking on how to consider the timing and contribution from those? Thank you.
Morgan Kurk: Yes. So Simon, the BEAD and other funding continues to be primarily focused on fiber and although, we expect this to have more of an impact in the future. We really don't have a good view of exactly when that timing will happen. There clearly is not enough money going around to connect everybody with the current methodology of predominantly using fiber and so we think that will favor us over time. But as I said we don't have a real timing on that where we will get a big uplift because of it in the United States. There are other programs throughout the rest of the world requiring different requirements for forgetting government funding and while we're actively working with them. And I don't have a number to give you on what sort of an impact we have. I believe it will be just as part of our normal business.
Simon Leopold: Thank you.
Morgan Kurk: Thank you.
Operator: Our next question comes from George Notter with Jefferies. George, your like is open. Please go ahead.
George Notter: Hi, guys. Thanks very much. I guess one for Morgan. Morgan in – your, its monologue you talked about kind of doing less as a company be more focused as a company. Can you talk about your views on the product portfolio are there pieces that you might look to rationalize or areas where you can become more focused, any thoughts on in the products? Thanks.
Morgan Kurk: Absolutely. This is a passion of mine. So I'll kind of go through a methodology. I won't speak specific to a product that will be deemphasized or emphasized. But if you look across our product lines, we have a multitude of products in some cases covering the same spectrum and addressing the same customers. And my immediate plan is to tried to emphasize, I call it the best-in-class if there are competing products and deemphasize without reducing the ability to support product that is in the field. Over the longer term, it is to consolidate products on a single unified platform. And this is something, which I am fervent about because it really means that your R&D gets spread out along a larger customer base and you can address more of the market from a single product that however takes time. So step one is just where you're going to emphasize you spend and step two is the engineering involved with consolidation.
George Notter : Got it. That's helps. Thanks very much guys I appreciate it.
Morgan Kurk: Thank you.
Operator: Standby for our next question. And this is coming from Erik Suppiger with JMP Securities. Erik, your line is open. Go ahead.
Erik Suppiger: Yes, thank you for taking the question. Morgan, can you talk a little bit about the competitive environment particularly for you and your enterprise products? Are you seeing a significant discounting out there, or are you the ones that are doing discounting in particular? And then also from a headcount perspective, it sounds like you've already made some reductions. Can you give us a sense of where things stand from a headcount perspective?
Morgan Kurk: Sure. So in terms of the competitive landscape in enterprise, I think the industry as a whole is facing the similar challenges when you have supply chain shortages, channel typically places lots and lots of orders on lots of different suppliers and I think everybody is dealing with that same issue. We are not the leaders in discounting. We're following others. We attempt to hold price where possible. But that's a fact of the market today is that there's a lot of discounting going on. In terms of our reductions, reduction in this company is across the entire company, but it does have an oversized impact on where we have the majority of our costs and that's in R&D as a primary example. I am balancing what we need to accomplish with what we can afford to accomplish and that's how I figure out how we can reduce our operating expenses, while still maintaining a healthy portfolio.
Erik Suppiger: Can you comment what your headcount was at the end of the September quarter and how you think it will proceed from there?
Andrew Bronstein: So in terms of the overall headcount reduction is in terms of specific numbers of people is 12% to 15%.
Erik Suppiger: Okay. And can you remind us what your current headcount is?
Andrew Bronstein: So if you look at our overall headcount including contractors that we're using it's in the 800 range.
Erik Suppiger: All right very good. Thank you.
Operator: Thank you. And our next question comes form John Roy, Water Tower Research. John, your line is open. Please go ahead.
John Roy: Thank you and great. Thanks for taking my question. So I kind of wanted to circle back to gross margins and you guys are guiding to a little bit of recovery in the fourth quarter was curious as to any color you can give on that and any kind of specifics maybe on a product mix?
Andrew Bronstein: Yes, that's a big part of it is product mix. So we're expecting our revenues in the defense sector to increase pretty significantly, given the deferral that occurred in Q3 because of the budgetary timing issues. As you may know, defense products have the highest margin within the company. We are also, as Morgan said earlier, working with our distributors and looking at enterprise making sure that we're working as aggressively as we need to with them to move the inventory through the channel, which means – which often means making sure we're being as price competitive as we can because we have other competitors that have very similar issues in terms of inventory in the channel. And they've taken actions to decrease price to move their inventory through the channel. So that's partially, what's happening as well especially in one particular product within enterprise.
John Roy: Great.
Andrew Bronstein: Those are the two main drivers. Go ahead.
John Roy: Yes. I'm just going to ask about that 28 gig is that at this point kind of a little bit higher margin items since it's somewhat newer?
Andrew Bronstein: It's right. It's not one of the higher margin products it's running you know as many of the PMP products are in the in the mid to high 40s on average. So that's about right for 28 gigahertz.
John Roy: Great. Thanks so much.
Andrew Bronstein: Sure.
Operator: And our final question comes from Scott Searle with ROTH Capital Partners. Scott go ahead. Your line is open.
Scott Searle: Hey, good afternoon. Thanks for taking the follow-ups. I just wanted to dive in again real quickly on the gross margin recovery, understanding that there were headwinds near term in terms of discounting moving life fly through the channel, et cetera. But as you look out to a recovery scenario in the second half of 2024, what's your expectations in terms of what the gross margin profile will look like at that point in time? Thanks.
Andrew Bronstein: Yes. I mean I think after we get through the headwinds that we have and I think as the overall industry kind of settles out longer-term I think we're going to get back to the similar levels that we've had historically in that 50% range ultimately. I don't know where you're going to see that in the second half of 2024 as you go into 2025. But I think that's ultimately where we're going to pan out when all of a said and done. And I think with the cost reductions we've had as I said in my comments, I think that positions us well for generating more significant free cash flow in the future once we get to those levels.
Scott Searle: Great. Thank you.
Andrew Bronstein: Take one more.
Operator: And we have Erik Suppiger again, with JMP Securities. Erik, your line is open.
Erik Suppiger: Yes, just a quick follow up. In terms of the cash any sense of how we should be modeling out the either free cash flow when do you anticipate getting to breakeven or do you have a target cash balance that you want to preserve and anything we can work from rule of thumb wise?
Andrew Bronstein: Yes. I mean I think we'll talk more about that in next quarter's call. But as I mentioned, the way I see it right now is that, it's going to be prudent for us as we get into 2024. We had some headwinds, especially in the first quarter, where you were really collecting receivables from the previous two quarters in terms of cash coming in the previous couple of quarters being such a low revenue quarters it makes it very challenging obviously in terms of cash coming in. And we'll also have costs associated with the restructuring. So I think it's going to be prudent for us to think that a portion of the revolvers which I don't see being any more than half of it could be even a little bit less than that as we enter into 2024. And as we're modeling it right now we don't see a need to take down any more than that throughout the year of 2024.
Erik Suppiger: Are there any loan covenants associated with the revolver that we should be aware of that would restrict any of that?
Andrew Bronstein: There are some covenants associated with the revolver but we don't see that as being restrictive right now.
Erik Suppiger: Very good. Thank you.
Operator: And this concludes the question-and-answer session. I would now like to turn it back to Mr. Peter Schuman, Vice President Investor and Industry Analyst Relations for closing remarks. Peter?
Peter Schuman: Thank you, Eric. During Q4 2023 Cambium Networks will be meeting with investors virtually on November 14 at the Needham Virtual Security Networking & Communications Conference and on November 15 at the ROTH Capital Conference held in New York and on December 11 at the Oppenheimer virtual 5G Summit. In the meantime, you're always welcome to contact our Investor Relations department at 847-264-2188 with any questions that arise. Thank you for joining us. And this concludes today's call.
Operator: Ladies and gentlemen, this concludes today's quarterly earnings call. Thank you for your participation. You may now log off.